Operator: Ladies and gentlemen, greetings, and welcome to the Paysafe Second Quarter 2025 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host for today, Kirsten Nielsen, Head of Investor Relations. Please go ahead.
Kirsten Nielsen: Thank you, and welcome to Paysafe's earnings conference call for the second quarter of 2025. Joining me today are Bruce Lowthers, Chief Executive Officer; and John Crawford, Chief Financial Officer. Before we begin, a reminder that this call will contain forward- looking statements and should be considered in conjunction with cautionary statements contained in our earnings release and the company's most recent SEC reports. These statements reflect management's current assumptions and expectations and are subject to factors that could cause actual results to differ materially from those forward-looking statements. You should not place undue reliance on these statements. Forward-looking statements speak only as of the date of this call, and we undertake no obligation to update them. Today's presentation also contains non-GAAP financial measures. You can find additional information about non-GAAP measures and where relevant, reconciliations to the most directly comparable GAAP measures in today's press release and in the appendix of this presentation, which are available on the Investor Relations section of our website. Now I'll turn the call over to Bruce.
Bruce F. Lowthers: Good morning, and thank you for joining us today. We have continued to build operational momentum this quarter, so let's turn to our financial results. Another good quarter with revenue, adjusted EBITDA and adjusted EPS, all in line with our expectations. We delivered 5% organic revenue growth and strong adjusted EBITDA growth of 12% when excluding the divested direct marketing business. The results reflect continued execution on our strategic priorities and growth across all major product lines. Additionally, we saw continued strong performance from existing customers and increase in growth contribution from new customer wins, along with the launch of innovative new products. We returned $20 million to shareholders in the quarter by repurchasing nearly 1.5 million shares, up from 613,000 in Q1, and we continue to repurchase shares here in the third quarter as our shares, in our opinion, remain significantly undervalued and provide a unique opportunity for us that we cannot ignore. With the second half underway, we continue to expect an acceleration of top line growth, especially in the fourth quarter as we deliver on our existing contracts, execute on our sales pipeline and drive revenue from product initiatives that are already in market. Collectively, this remains on track to drive stronger growth and margin improvement in the second half. Compared to this time last year, our enterprise-level deals and the annual contract value of those bookings are up more than 20% year-to-date, with a healthy backlog of signed business across the gaming and fintech sectors, including digital asset and Paysafe merchants scheduled to go live in the near term, which further supports our confidence in the full year outlook. Turning to Slide 4. I'll share an update on our product priorities, starting with the recent launch of our PagoEfectivo wallet in Peru. While it's early days, we're pleased with the initial reception of nearly 40,000 sign-ups and a strong volume of repeat users. We also see sustained high volumes of website and app store visits and believe we have a strong foundation to build future engagement and growth. But more importantly, this demonstrates our ability to leverage Paysafe's wallet platform to deliver tailored solutions that meet consumers' local payment needs. This is something we plan to replicate in other markets globally as Paysafe identifies opportunities to bring value to consumers and differentiate ourselves in the market. Next, our Skrill digital wallet continues to evolve towards being an entertainment destination with products that enhance engagement and loyalty. Our new free-to-play feature allows users to predict the outcomes of live football matches, creating a fun and engaging experience. We also recently launched our new Sports Corner, which highlights the latest match statistics and live odds from real betting operators. By embedding this key step of the sports betting flow, we allow users to complete many of their main actions within the wallet, increasing the probability of completing a transaction. We are seeing strong active user engagement with these new features, placing consumers at the heart of the action. With respect to our eCash solutions, we continue to demonstrate the success of our online channel with continued product enhancements and regional expansion. This shift towards online account-based distribution has seen revenue growth of 37% year-to- date, supporting engagement and recurring activity by users with a digital footprint. While revenue contribution is relatively small at $22 million in the first half, our own online store is now our largest distributor. Lastly, in Q2, we signed BBVA, a major Spanish bank that is expanding operations into Germany. Through this partnership, we are enabling BBVA's consumers to seamlessly deposit and withdraw cash to and from their bank accounts at any of our point-of-sale partner locations in the region. This further expands our reach through partnerships with leading mobile and retail banks similar to our recent collaborations to provide digital cash solutions to Revolut and Deutsche Bank, among others. While there is a lot more happening across both merchant and consumer portfolio, this gives you some of the highlights of our current product initiatives that are already in market. This represents a cultural shift in the organization, bringing us closer to our midterm goal to drive 10% to 12% annual revenue contribution from products released in the last 3 years. Turning to Slide 5. We continue to be very pleased with the progress on our enterprise side of the sales organization and pipeline. Our growth in e-commerce continues to be very strong, exceeding 30% in the second quarter and broad-based across iGaming and other verticals. The quality of our e-com and enterprise bookings continues to improve and is driving higher quality revenue growth overall, including high single-digit growth from our top 20 countries with positive momentum across Europe, which saw double-digit regional growth for the first time in years. On the SMB side, we discussed on prior calls that we have some more work to do as we rebalance and optimize the SMB team and go-to-market channels. While attrition is slightly elevated from where we want it to be, we're encouraged by our new mid growth this quarter, which was up 6% across the SMB portfolio, including growth from the direct channel. We continue to implement more efficient marketing programs to drive sales qualified leads with better close rates, while at the same time, focusing on the retention of high-value accounts. Lastly, we remain very excited about our expanded partnership with Fiserv, we've already seen a promising response to our Clover initiatives. To wrap up, we're seeing solid progress towards our priorities to drive new product growth, ramp up the sales organization, leverage key partnerships and drive greater scale and efficiency across the Paysafe network. With that, I'll ask John to review the financial results and outlook.
John Crawford: Let's move to Slide 7 for a summary of our second quarter results. On a reported basis, revenue declined by 3% to $428.2 million. Organic revenue growth was 5% for the quarter, in line with our expectations. Organic growth reflects continued double-digit growth from e-commerce, 1% growth from SMB and 3% organic growth from digital wallets, and it excludes the impacts from the divestiture, foreign exchange and interest. Adjusted EBITDA was $105 million and adjusted EBITDA margin was 24.8%, up 80 basis points compared to the first quarter. When we exclude the impact of the divestiture, our gross margin declined 160 basis points, driven by 2 ongoing factors: lower interest revenue, which accounts for 40 basis points of the decline and the remainder reflecting business mix. As we've discussed on prior calls, the shift in mix is mainly driven by higher ISO channel growth within our Merchant Solutions segment. This was partially offset by a decline in SG&A, reflecting our continued cost discipline and the nonrecurring pieces of last year's investments. Excluding the contribution of the divestiture and prior year EBITDA, adjusted EBITDA growth would be 12% with margin expansion of 130 basis points. Turning to cash flow. We generated $54 million in unlevered free cash flow in the quarter with a 51% conversion of adjusted EBITDA compared to 59% in the second quarter of last year, reflecting unfavorable FX movement on cash held in foreign accounts. Without this FX impact, our conversion would have been 60% for the quarter. On an LTM basis, unlevered free cash flow was $272 million, reflecting 64% conversion, and we expect the full year to be in line with our target range of 65% to 70%. Adjusted net income was $27.6 million or $0.46 per share compared to $0.59 in the second quarter of last year as the prior year period included $25 million of EBITDA from the divested business as noted in our press release. The GAAP net loss of $50 million for the quarter included a $31 million valuation allowance on our U.K. deferred tax assets as we no longer meet the accounting recognition threshold. Additionally, we are evaluating the U.S. tax implications of the One Big Beautiful Bill Act and expect it will result in a full valuation allowance against our U.S. deferred tax assets in the third quarter of this year. I'll point out that these are noncash expenses driven by accounting recognition requirements that have no impact on our cash taxes. Turning to Slide 8 for a breakdown of our revenue growth drivers year-to-date. Revenue attrition was 12% for the first half, which reflects modest improvement from Q1 to Q2, but remains slightly above our expectations. Existing customer growth was strong at 13%, which includes clients onboarded in 2024 and will naturally moderate as the year progresses and we annualize the start dates of client onboards. The growth contribution from new customers and new product initiatives improved to 6% in Q2, resulting in a 4% contribution to growth for the first half of the year. Turning to Slide 9 to discuss the Merchant segment results. Merchant Solutions volume increased by 9% to $35.7 billion, reflecting strong growth in e-commerce and resulting in organic revenue growth of 6%. As a reminder, e-commerce verticals such as iGaming reflect a higher gross margin profile compared to SMB, but a lower take rate, which is predominantly why volume growth outpaced revenue growth for the segment. Adjusted EBITDA for the segment was $39.7 million with an adjusted EBITDA margin of 17.1%. There's a lot of noise here, but looking past the impact of the divestiture, the main driver is the mix headwind due to stronger performance in our ISO channel relative to SMB direct. SG&A for the segment declined sequentially from the elevated level in Q1 and compared to the prior year, reflecting a lower level of investments and improved productivity. Excluding the divested business, adjusted EBITDA margin for Merchant Solutions would have improved 280 basis points year-over-year. Turning to the Digital Wallet segment on Slide 10. Revenue from Digital Wallets was $201.2 million, an increase of 3% on an organic basis despite a lower level of sports betting events compared to the second quarter season last year. Our 3-month actives were 7.2 million, up 3% compared to last year, reflecting growth from LATAM actives, our new collaborations with retail banking merchants and growth in our classic digital wallets, supported by strong consumer acquisition activity and marketing campaigns to reengage users. Adjusted EBITDA for the Digital Wallet segment was $82.7 million, which was flat compared to last year, including a $4 million headwind from lower interest revenue and also reflecting business mix due to high growth in our eCash products. Segment SG&A was higher in the quarter as well due largely to increased marketing to support our launch of the PagoEfectivo wallet and foreign exchange impacts. Turning to Slide 11 for an update on leverage and capital allocation. At the end of the quarter, total debt was $2.6 billion and net leverage increased to 5.4x, as the stronger euro at the end of June increased our euro debt balances by more than $100 million when translated back to U.S. dollars. The divestiture is the biggest driver of this temporary increase in our net leverage, and we expect to start growing over that impact to our LTM EBITDA metric in the back half. I'll point out that this impact on the debt balance due to FX does not impact our interest expense, which was $34.5 million in Q2, down 7% compared to the second quarter of last year. Our current interest rate is 5% and down 80 basis points year-over-year. Lastly, we purchased 1.5 million shares during the second quarter at an average price of $13.41 per share and an additional 1.5 million shares to date during the third quarter, bringing our year-to-date total to 3.6 million shares. While we are keen to deliver, the low prices in our stock have been too attractive to ignore. Finally, turning to Slide 12. We're reaffirming our 2025 outlook based on our year-to-date results and what we expect for the remainder of the year. We continue to expect organic growth in the second half to accelerate to the range of 8% to 10%, with the fourth quarter expected to be our strongest quarter for reported growth, organic growth and margin performance. The drivers are consistent with what we shared on our last call. We expect to do roughly 1 percentage point better on existing customer growth, bringing that to approximately 9% and while attrition is tracking less favorable at 12%. We continue to expect our new customer and NPI growth to contribute roughly 10%. As Bruce discussed earlier, our product initiatives remain on track, and our anticipated new customer growth is supported by strong growth across our enterprise deals and ACV. We also have a healthy book of business currently in client delivery that is scheduled to go live in the second the midpoint of the range and adjusted EBITDA growth in the low to mid-teens when normalizing for the impact of the business disposal. Lastly, our margin profile is expected to improve in the second half, supported by overall growth and operating leverage, along with a slight mix improvement at the segment level, where we expect a stronger contribution from digital wallets in the second half as well as margin improvement in the Merchant Solutions segment with an expectation that our initiatives to improve growth and channel mix will lead to an increase in gross margins in the second half. With that, I will turn it over to Bruce for final remarks.
Bruce F. Lowthers: I'd like to close by thanking our teammates for their continued commitment to our customers, which led to Paysafe being recognized as one of the world's top fintech companies for 2025 by CNBC and Statista for the third year in a row. Their hard work and focus have resulted in our improved execution across the company, setting us up to deliver our third consecutive year of organic revenue growth while helping to shape the future of payments for the experience economy. Now let's begin the Q&A session.
Operator: [Operator Instructions] Our first question comes from Timothy Chiodo with UBS.
Unidentified Analyst: This is Jing Zhang up for Tim. I wanted to touch on your partnership expansion with Fiserv. So last quarter, you highlighted Clover Capital. So 2 areas of questions. Number one is, does Clover reach directly to your end merchants for their new capital extensions? And if so, how has adoption been trending with your customer base?
Bruce F. Lowthers: I appreciate the question. So yes, in regard to Clover and our partnership there, the Clover Capital will be available through the business wallet, and so it reaches directly out to the consumer. So just for clarity, it will be a Clover wallet. And so it will be, in essence, a white label wallet for Clover that goes to their customer base. We will have a version that goes to our customer base as well. But yes, all the ancillary services will be available to merchants via the wallet. In regard to the initial adoption, it's very early days. And so we are pleased with the initial uptake on the product. Capital has been working well. And I think -- but it's very early, but we're very pleased with the response from our merchants at this point.
Unidentified Analyst: I believe that your offering of Capital, you mentioned is through a partnership with [indiscernible]. So also curious about the trend on that front and also unit economics compared to other VAS offerings that you have and also maybe compared to the Clover Capital offering?
Bruce F. Lowthers: Yes. Economics are very similar on both sides of the product offering, whether it's Clover Capital or our direct capital line. So really, there's no risk that we're assuming as part of the business. It's, in essence, a referral fee on each of the capital deals, the lending deals that we do. So economics are very, very similar. Uptake is very, very similar on both sides of the portfolio, whether it's direct through us or on the Clover side.
Operator: Our next question comes from Trevor Williams with Jefferies.
Trevor Ellis Williams: I just wanted to start with the bridge to the rest of the full year. I mean, the organic acceleration over the next 2 quarters and the step- up in margin expansion. It sounds like it's mostly from the enterprise deals in the pipeline. But if you could just expand on the main drivers there and just how you would frame the level of visibility overall.
Bruce F. Lowthers: John, do you want to jump in on the walk or I can give you some just anecdotal. So look, I think -- the vast majority of the back half of the year has already been sold and in various states of implementation or just ramping up. So we believe we have very good visibility into the back half of the year. We see continued improvement in attrition. We see that working in our favor as we get into July. We expect that to continue in the back half of the year. So that's going to add a little bit to growth. John, do you want to add anything?
John Crawford: The only thing I would add then is that likewise, I think per the remarks we made earlier, then also drives the margin expansion in the back half of the year. And it's really both the contribution from the wallet side of the business as well as improvement in the Merchant segment where we see both the gross profit and EBITDA margins improving in Q3 and Q4 to drive the margin improvement.
Bruce F. Lowthers: Again, I'll just recap, we've got improvement in attrition that we can see and is already visible. We have really strong pipeline and execution against the pipeline that we've sold in the first half of the year that will rotate into revenue in the back half of the year. We have continued improvement or expansion in our new products as those continue to roll out across the back half of the year as well. So the vast majority of the back half of the year has been sold. It's now just a kind of implementation and ramping up is how I would classify it. We still have some work to do. There's not -- we're not sitting here saying, okay, we're done for the year. We still have work to do, but we feel very confident about what we've sold and the momentum of what we have coming out of the first half of the year.
Trevor Ellis Williams: That's very clear. And then just for my follow-up, I wanted to ask on the e-commerce business. iGaming has been a consistent call out from you guys forever. But it also sounded like you're seeing strength in some of the other verticals within the portfolio as well. If you could just expand on those, maybe where you're seeing kind of accelerated bookings momentum would be helpful as well.
Bruce F. Lowthers: Yes. I think that's a fair call out. I think when we look at the overall portfolio, as we said, we've got just north of 30% year-over- year growth. The gaming business, as you said, we've called out, has been pretty consistent over 50% growth for the last couple of years, at least in the last 2 years. What has been nice starting in this year, you're really starting to see significant movement in the other verticals within e-commerce. Chris Peterson's team has done a great job kind of expanding that. And we see now in Q2, we had double-digit mid-teen growth in that side of the house as well. So we're really ramping on that. We're pressing hard on that. We expect that continue as we move forward into the back half of the year.
Operator: Our next question comes from Darrin Peller with Wolfe Research.
Darrin David Peller: Bruce, I know you guys were -- you were talking about the growth of SMB MIDs obviously looking good. But I know you also called out attrition being a little bit higher. So maybe just give us a sense of the puts and takes on what's going well there versus what you can do to really -- what you're doing to improve the attrition that I think you already alluded to. And then maybe a little bit more color on the split between direct and ISO growth within SMB and any efforts you're going through to improve the direct side?
Bruce F. Lowthers: Yes, happy to do that. So let me -- I'll tackle the attrition first. And so the attrition has been something we're really focused on. I think when we set out the guide for the year, we were really hoping to be down around 11% for the year on attrition. We started out the year on a company-wide basis around 12%. We moved to 11% in Q3, and we feel pretty good about where we're sitting. We've implemented a series of new technologies and the way we look at attrition, and we have a data team that now has the ability to kind of predict key indicators on attrition. And so that's allowing us to move through that. I would also point out on our attrition has been a natural -- something that we've seen because we've been driving some of our merchants and business off over the last couple of years as we've pruned our portfolio. We're kind of coming to the end of that. So you're seeing a natural decline in attrition, and it's really evident in our Digital Wallet segment. You've seen a couple of points of improvement on that side. So this is moving just as we thought it would, and we feel very good and confident about the attrition continuing to mitigate as we move down through the rest of the year. On the SMB and enterprise, enterprise, as I've covered, really strong growth in the enterprise side, both on the gaming side and our other channels on e-commerce. So feel very good about that side of the business. I think the big turnaround on SMB this quarter has been really fantastic. I think Rob Gatto and his team have done a nice job of getting us back on track. I think as we came into the back half of last year, we had some SMB mid-production challenges, and we've kind of turned that corner. So we had really nice growth, probably the best quarter we've had in probably 1.5 years from a mid-production, we returned back to a positive mid-production and feel very good about going into the back half of the year. We do have a little bit of an easy grow over on the back half of the year from a mid-production standpoint. So I would anticipate seeing a double-digit mid-production growth profile as we go through the back half of the year just based on the steady state of what we did in July. We had a very strong July mid production, and we'll continue to see that as we go through the back half of the year. Again, we have a great product with Clover that is really helping us in that market. We feel very good about our partnership with Fiserv. And I think overall, we've got a lot of those issues resolved, and we're moving in a very positive direction.
Darrin David Peller: And that's -- Bruce, that's direct also. I know the ISOs you called out being strong. Good to hear.
Bruce F. Lowthers: On a direct basis, we had 7% growth on a direct basis in Q2 on our MI production.
Darrin David Peller: And then just quickly on July and August. Any sense you can give us for a minute on what you're seeing right now in the market?
Bruce F. Lowthers: In July and August, that's probably getting a little out in front, but I've already, I guess, commented a little bit that July looked pretty solid for us. We feel very good about July. really strong mid production, nothing unusual in July. It was just a solid month in July. So we feel very good about. Yes, good volumes, good -- yes, just a solid month in July.
Operator: Our next question comes from Andrew Harte with BTIG
Andrew James Harte: Just one for me. Can you talk a bit about the ramp in the direct sales team that we've been talking about the last couple of quarters? Are they all on board now? And then if they are, how close do you feel they are to becoming fully productive to the level you'd like to see?
Bruce F. Lowthers: So when I look at our sales team, we're up about 56% from where we were in Q2 '23. So the team has definitely grown quite a bit. Productivity is very good. When we look at the productivity per rep, enterprise has remained constant. So even though we've added a bunch of people there, there's very steady production across that group. When you look at our SMB group, it's kind of a story of 2 different. We had an in-market group and our normal telesales group. The telesales group has performed very well. Actually, their production per rep has increased. The in-market has been weaker as we try to work through that. So we've made some adjustments. Rob is doing a great job kind of adjusting the group there on the in-market piece. But overall, enterprise is executing at a high level. The direct telesales organization is doing exceptionally well, and we've got a little bit of work still to clean up on the in-market piece.
Operator: Our next question comes from Matthew Inglis with RBC Capital Markets.
Matthew Inglis: So on the SMB sales side, in the past, you've talked about expanding into additional states and verticals. Can you give us a sense for the progression there? And is this something that could be maybe meaningful to growth in 2026?
Bruce F. Lowthers: And I apologize, the question was SMB verticals. States, sorry.
Matthew Inglis: Yes, the expansion into additional states and verticals, yes.
Bruce F. Lowthers: So good progress there. I think as we expanded the sales team, we targeted different states. I don't have the stats in front of me on state productivity. But overall, we're seeing good production across the board on the SMB side. As I just alluded to, our direct telesales team is actually positive productivity for rep year-over-year. So really seeing nice activity there. I would call out as well that our marketing team is really doing a great job. We've brought a lot of science to what we're doing about the lead generation. They've done a very nice job really improving the efficiency of the sales cycle. So overall, I feel like we're trending in a very positive direction on the SMB side.
Matthew Inglis: And then on the PagoEfectivo wallet, can you maybe give us a deeper sense for where you're seeing traction? I remember there was kind of the gaming angle and the more general use case for it. What's kind of driving success at the moment? And what's your strategy and maybe the cadence from this point to ramping it?
Bruce F. Lowthers: The PagoEfectivo wallet was really an exceptional launch process. It's -- again, our team down in Latin America, just Peru, just did a great, great job with it. Our marketing team, exceptional job with the launch. It's really something that we're building off of an existing portfolio of customers. 81% of the customers we surveyed said they would use our wallet. We're seeing really nice adoption here in the first 40, 50 days, which we put in the prepared remarks. So we feel very good about kind of the progress there. There's still a long way to go. We're still rolling it out, increasing acceptance. But overall, we see some really nice things that are emerging. We see an increase in the number of transactions from our existing Pago customers as they move into the wallet. So their number of transactions per month is more than doubled. So we feel very good about the potential there as that continues to roll out. But overall, I think the launch has been exceeded our expectations, and the teams have really done an outstanding job getting that product launched. Now it's just going to be making sure that we drive acceptance across the market, both the gaming piece is the obvious piece, but broadening that out across the Peru market is really going to be important, and we feel like we're in a good position to do that. Really solid effort by the team there.
Operator: [Operator Instructions] Our next question comes from Aditya Buddhavarapu with Bank of America.
Aditya Buddhavarapu: Just a follow-up on e-commerce. So I think you pointed out the strong traction you're seeing across verticals. Just keen to understand how that e-commerce growth is split across maybe different geographies as well, but also different regions but also just trying to see how much of that is coming from the market versus maybe some share gains that you're seeing in your verticals?
Bruce F. Lowthers: What we are seeing out of that vertical is a little bit of geographic expansion. We talked a little bit about Europe and the growth of the European region. Part of that growth is really being fueled by cross-sell opportunities that we've had with e-commerce into our European customers. And so that's really helping fuel some of that e-commerce growth outside of the gaming vertical. So we feel very good about the opportunities that we've had there in Europe. Obviously, that group operates on a global basis. I wouldn't say there's one particular market that jumps out more than the other. I think that, that team is now has a product that they have the ability to go sell on a broadscale basis. We're finding our footing on how to sell it, and I would expect to see continued growth in that side of the business as we move forward.
Aditya Buddhavarapu: And if you could just also talk about the competitive dynamics you're seeing in the e-commerce space in your key verticals and maybe the region as well.
Bruce F. Lowthers: I apologize, I missed the -- can you just repeat that? I apologize. I missed the beginning of the question.
Aditya Buddhavarapu: Apologies. If you could just expand on the competitive dynamics you're seeing in e-commerce as well, maybe in your key verticals and regions?
Bruce F. Lowthers: I think all of these markets in e-commerce are highly competitive. I think that the -- for us, we have such a small market share. There's tremendous opportunity to continue to grow even if we're coming in second or third in a particular e-com opportunity, we're getting volume that we didn't have before because our product is getting better and our team is getting more adept at selling it. So there's tremendous growth opportunities for us for the foreseeable future in this. We won against anybody. There's lots of competition out there, but we feel pretty good, especially the closer you move towards video gaming and gambling, we do exceptionally well. And now as we broaden out our product set, we'll be moving into some of the other verticals where we feel we can compete focusing on complex transactions, like the things that are complex, we do exceptionally well with because of the foundations that we have around risk management, regulatory environments, those things are things that help us stand out and perform very well.
Aditya Buddhavarapu: And just maybe a question on the growth of digital currency or stable given that's been top of mind for a lot of people. How do you see that fitting into your digital wallet business in terms of maybe making a traditional option for consumers to hold those wallets? Do you think that's something which could be an additional feature on your offering?
Bruce F. Lowthers: So the stablecoin question, I guess, is probably the one that everybody has been talking about. We've been using stablecoin for a number of years, drive revenue from stablecoin for a number of years. Predominantly is a mechanism moving from crypto to fiat, fiat to crypto. But I think the use cases are really something that are just in the beginning stages of exploring, right? So what we see is more use cases around treasury functions, but our business is not really cross-border into third world markets. That's not really what we do. So it's really about the expansion of other use cases for stablecoin. And like everybody else, we're looking at those. Right now, it's -- for the way we look at it, it's a decent tool, but you could liken it to prepaid without acceptance. And we're trying to figure out how do we leverage our distribution network to leverage that technology more. But I don't know that we're as caught up on the hype. We've been using it for a number of years, as I said, I don't see that as a dramatic change to where we are today.
Operator: Ladies and gentlemen, as there are no further questions, I would now like to hand the conference over to Bruce Lowthers, Chief Executive Officer, for closing comments.
Bruce F. Lowthers: Well, thank you very much. I really appreciate everybody joining us here today. Again, I want to thank our team here at Paysafe for all their continued work, hard work as we are driving forward through the year. So thank you all, and look forward to speaking with everyone again next quarter. Have a great day.
Operator: Ladies and gentlemen, the conference of Paysafe has now concluded. Thank you for your participation. You may now disconnect your lines.